Operator: Good day, ladies and gentlemen. And welcome to The Tile Shop Fourth Quarter 2014 Earnings Call. At this time, all participants are in a listen-only mode. Later, we’ll have a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to Adam Hauser, Director of Investor Relations. Please go ahead.
Adam Hauser: Thank you, Operator. Good morning to everyone on the call and welcome to the Tile Shop's fourth quarter earnings call. Following our prepared remarks, the call will be open for analyst questions. Questions will be limited to analysts and we would appreciate that participants would limit themselves to one question, with one follow-up. As a reminder, certain statements made during the call today may constitute forward-looking statements made pursuant to and within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 as amended. Words such as, but not limited to, plan, expect, anticipate, believe, estimate, target and any other similar words to identify forward-looking statements maybe made. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from such statements. Those risks and uncertainties are described in the earnings press release issued today and in the Tile Shop's filings with the Securities and Exchange Commission. The forward-looking statements made today are as of the date of this call and the company does not undertake any obligation to update these forward-looking statements. Today's presentations may also include certain non-GAAP measures. Please see the company's earnings release for a reconciliation of those non-GAAP financial measures also available on the Investor Relations section of website at investors.tileshop.com With that, let me now the turn the call over to our Chief Executive Officer, Mr. Chris Homeister.
Chris Homeister: Thanks, Adam. Good morning, everyone. I am here with Kirk Geadelmann, our CFO. And we appreciate you are joining us today as we report our fourth quarter and full year results and share our outlook for the year. As we discussed in our earnings release, the environment remained challenged during the fourth quarter, but due to a variety of initiatives implemented during the quarter, we look to finish the year within the range of outcomes we discussed on our last call, whether assessing other retailer peers, manufactures or other industry survey data, 2014 was not a strong year of growth for the retail flooring category. We have discussed relatively dramatic swing in existing home sale growth from the strong positive increase we have experienced during 2013 to mid single-digit decline we’ve experienced throughout much of 2014, which we believe weighed on the modeling activity and customer traffic throughout the course of the year. Sales for the quarter were $63.3 million, representing growth of 9.5%, while comparable store sales during the fourth quarter were flat. For the full year, our sales grew 12%, $257.2 million and comparable store sales growth was approximately flat for the year as well. While we were disappointed that we finished at the low end of the earnings guidance, we have been pleased to see the beginning of strong sales momentum across much of the chain since December. As we look back at the fourth quarter specifically, there were numerous accomplishments that our team successfully delivered, but I’d like to mention as we continue to invest in our organization. First, we launched our market manager program that covers approximately half of our store base, leveraging and incanting accomplished senior-level store managers to drive growth, reduce turnover and lead talent development at the market level. During the course of 2015, we fully expect that all stores will have market manager support to significantly assist in the development of our staff, share best practices across the market and ultimately drive and improve performance in each market. With the market manager structure in place we saw meaningful sales associate and store manager turnover declines from Q3 levels with Q4 representing the lowest store level turnover rates of the year. Average store manager tenure had meaningful increase in the fourth quarter, following numerous quarters of sequential declines, as we have discussed in the past, manager tenure is the key in successfully deploying our in-store strategies. Our online sales channel delivered mid-teens growth during the quarter and saw increased use of our ship-to-store option that we implemented earlier in the year. Gross margin was 69.5% for the fourth quarter and represented an increase of 70 basis points versus last year. Q4 adjusted EBITDA grew 9% and EBITDA margin was approximately flat versus the prior year period, both of which were stronger improvements from higher performance on these metrics in the first three quarters of 2014. The fourth quarter completed a year in which we generated free cash flow of approximately $6 million or adding 19 stores and relocating one. Our inventory management continued to improve as we reduced our year ending inventory including prepaid amounts by nearly $4 million versus 2013, while growing full year sales 12% and open 19 locations. We continue to optimize our assortments and we make minute to assorting the best of the best for each product category. In Q1 alone, we are bringing in over 200 new skews from across the world that will bring more color, latest design trends and large format tiles into our assortment. As we look towards 2015 and beyond, our key initiatives to deliver our results will include the following. The first initiative centers around retail talent identification and training. We are accelerating the utilization of our newly created market manager positions, where we have implemented incremental compensation opportunities for achievement of turnover reductions, development of assistant manager and store manager talent in that market and total market financial performance. We are further developing manager and training candidates that receive full classroom and on-the-job training resulting in improved manager placements and transitions. And we continue to improve our hiring and selection process, which will further drive down turnover, result in the most qualified individuals leading and working on our stores. Our next key initiative is expanding our focus on the professional customer. Since hiring a dedicated leader to grow our business with a professional customer segment, we've already seen some early success with marketing efforts that feel are scalable and repeatable. We believe there is a long and sustainable opportunity to drive greater penetration, as well as loyalty with professional customers. In addition to dedicated leader, we have allocated marketing employees to market at Tile Shops differentiated value proposition to this segment in 2015. This marking investment is almost entirely new to the historical dollars towards professionals but doesn’t significantly increase our marketing spend in total. As we continue to invest in the identification, training and development of our associates, store managers and market managers, as well as more fully tailored our marketing plans for retail and professional customers, we are also modifying our store opening plans for 2015. Our current plans include opening 8 to 10 new stores in 2015. We would like to expect these number of store openings to expand in the future as we build out our talent pipeline. We remain very bullish on our ability to further intensify our retail footprint in the coming years. We expect two to three of our store openings in 2015 to be in new markets with the majority being in established markets, the latter of which have performed very well over the past year. During the year, we will continue to refine our store layout in merchandising plans to drive efficiencies, the amount of space that you will need in the future and we fully expect that our average store will continue to decrease the amount of square footage necessary to execute our plans. Additionally, since we last spoke in the latter part of Q4, we begin to test incremental advertising and new markets that we entered in 2013 and 2014 with the goal of building awareness and customer traffic to stores in those locations. These efforts are in the early stages and we plan to leverage the results to perform future marketing investments to support new stores. In addition to the items I just mentioned, further development and enhancement of our multichannel capabilities and working capital management also service key focus items in 2015. Past three years for the Tile Shop represented a significant phase of investment. Our store count doubled, we entered over 20 new markets, we added distribution of manufacturing facilities and made investments necessary to support rapid store growth. These investments have positioned us to bring our best-in-class store experience at a most diverse product assortment in the industry to millions of new customers. As we celebrate our 30th anniversary this year, we believe the assets and specific plans are in place to begin delivering strong growth in earnings beginning in 2015, also being in the early stages of our journey to become the leading national specialty tile retailer. We are encouraged by the strength of in-store and online traffic in comparable stores since the beginning of December. And we believe it is a reason for cautious optimism as we continue to work toward delivering our goals for 2015. The team and I will look forward to providing future updates to all of you in the coming quarters. With that, let me now turn the call over to Kirk for further discussion on the quarter and our outlook for 2015.
Kirk Geadelmann: Good morning. I’ll begin by taking you through greater detail on our fourth quarter and 2014 before discussing our outlook for 2015. Today we reported net sales of $63.3 million for the fourth quarter of 2014, which represents an increase of $5.5 million or 9% over sales of $57.8 million in the same quarter of last year. Comparable store sales growth was flat for the quarter relatively in line with the prior two quarters. Our year concluded with sales of $257.2 million, growing 12% versus 2013 with comparable store sales growth that was approximately flat. Given comp sales growth was very consistent with Q2 and Q3, I will turn to the performance of our new stores opened since 2013 that we discussed in detail on our third quarter call. Although we are especially focused on improving sales at these locations as quickly as possible, the initiatives that will ultimately lead to the most impact, including talent development, market managers and professional customer focus will likely take some time. That said there were good signs of progress at many of these locations since our Q3 call. During the fourth quarter, sales per month per store for the 36 stores opened from 2013 through Q3 2014 increased 7% from Q3 levels. When looking at the trend over the past two months of December and January, sales per month per store at these locations increased 17% from Q3 levels with 2014 vintage stores increasing 23%. These are early steps in the right direction for these stores. And we look forward to providing further updates on their progress. Our key 2015 initiatives are intended to provide very specific help to our newer store locations, having experienced market managers to mentor new store managers, investing in a deeper bench of well-trained assistant managers, focusing on how to help our stores in growing their professional business accounts and driving marketing effectiveness are all efforts we expect to feel the performance of our new stores in 2015 and beyond. Gross profit increased $4.2 million in the fourth quarter or 10.5% over last year. Gross margin rate of 69.5% increased modestly from our Q3 rate, capping the year of consistent gross margin between 69% and 70%, finishing the full year at 69.6%. Gross margin improved 70 basis points compared to the fourth quarter of 2013, which was impacted by heavier promotional discounts. Our selling, general and administrative costs for the quarter were $40.2 million as compared to $36.8 million in the fourth quarter of last year. Fourth quarter 2014 SG&A included approximately $0.3 million of non-recurring costs primarily related to shareholder litigation expense. We concluded the fourth quarter with 107 stores, a 22% increase versus the conclusion of last year's fourth quarter when our store count was 88. Consequently, when looking at the $3.4 million year-over-year increase SG&A, essentially all of it is attributable to new store growth. Depreciation and amortization, rents, property taxes, utilities and other occupancy costs represented $3.5 million of SG&A growth versus the prior year during the quarter while non-occupancy related costs were down slightly as we focused on cost reduction opportunities during the quarter. Pre-opening expenses were approximately $176,000 in the quarter. Adjusted EBITDA was $10.3 million in the fourth quarter, representing growth of 9% versus the prior year period. Adjusted EBITDA margin was 16.2%, which was approximately flat year-over-year. The growth in adjusted EBITDA and flat EBITDA margin marked an improvement from previous quarters in 2014. The non-GAAP net income presentation in the press release adjust our GAAP quarterly results by eliminating unusual or non-recurring costs and then applies the tax rate to the result. This presentation results in non-GAAP net income for the quarter of approximately $1.7 million which translates into basic and fully diluted earnings per share of $0.03. For the full year, basic and fully diluted earnings per share were $0.23. The fourth quarter had an abnormally high effective tax rate of 47%. The higher rate was attributable to the impact of recognizing a relatively fixed amount of expense for incentive stock options, which is not deductible for tax purposes, combined with generating lower net income and certain discrete items that were recorded during the quarter. Turning to our balance sheet, as of December 31, we ended the quarter with $5.8 million of cash and $88.5 million of long-term debt. At quarter end, we had slightly over $20 million of borrowings available under our long-term credit facility. We are pleased with our $69.2 million year-end inventory during the year with sales growth of 12% and the opening of 19 additional locations. Capital expenditures were approximately $5.6 million in the quarter, primarily related to new store investments. With respect to cash flow, the company was pleased to generate positive free cash flow of approximately $6 million in 2014, despite the industry challenges and new store productivity softness experienced throughout the year. Now, let’s shift gears to discuss our outlook for 2015 in greater detail. From a macro perspective, year-over-year growth in existing home sales did turn modestly positive for the fourth quarter. Various sources are predicting improvement in existing home sales for 2015. However, until we see that growth trend continue beyond one quarter, we plan to take a more cautious view. For the full year 2015, the company expects that revenue will range between $275 million and $290 million. Comparable store sales growth is expected to be in the low single digits. Comparable store sales growth for 2014 openings should strongly over index versus historical year two levels. But we are also limiting our expectations on significant acceleration of 2014 new store revenues until the second half of the year. Also, it's important to note that while we expect healthy comparable store sales growth from the 2014 stores, the weighted contribution is limited given the smaller base of sales dollars. We also expect solid growth from 2013 and 2012 openings. While expectations on mature stores will be more conservative until there is further traction beyond what we've seen since the beginning of December. We expect half two comparable store sales growth to be stronger than half one after the various initiatives discussed today that had sufficient time to have a more material impact on results. Gross margin is expected to be between 69% and 70%. Non-GAAP earnings per share will range between $0.27 and $0.33 per share, representing year-over-year growth between 17% and 43%. This assumes an effective tax rate of 41% and approximately 51 million fully diluted shares outstanding. For the first quarter only, earnings per share are expected to decline based primarily on the continued impact of new store deleverage, as well as modest incremental marketing investments for advertising tests in new markets. We expect adjusted EBITDA margins to improve 100 to 200 basis points from the 2014 rate of 18.5%. As Chris discussed, we expect to open 8 to 10 new stores in 2015. Two openings will occur in the first quarter and likely one in Q2. The balance will occur in the second half of the year. Only two to three of these stores are expected to be in new markets, two of which are Q1 openings in Tampa and Orlando. Capital expenditures are expected to range between $17 million and $20 million. Our expectation for depreciation and amortization is approximately $23 million. And stock-based compensation is expected to be approximately $5 million. With that operator, we can now turn the call over for questions.
Operator: [Operator Instructions] And our first question comes from the line of Peter Keith with Piper Jaffray. Your line is now open. Please proceed with your question.
Peter Keith: Hey. Good morning, everyone. Thanks for taking the questions. I was curious on the commentary regarding your favorable near-term sales trend, I think you’ve characterized since the beginning of December. Just thinking back, was December last year, when the weather started to negatively impact your business. So could you just provide some color on -- do you think the sales trends are accelerating from easier compares, or you are starting to notice some kind of fundamental change across the base that’s encouraging?
Chris Homeister: Hi, Peter. This is Chris. A couple of things I will say to that point. December for us last year was actually a very difficult comparison, when we look at the quarter Q4 of ’13. So the comparison for December particular was actually a very difficult comparison from that standpoint. We do feel that there is a difference, as we discussed in the script as well as what I said in the release. We feel that there is a good strong positive momentum in store traffic, online traffic and in general, a robustness of customers that are looking to buy and are looking to embark upon a project within the first quarter of this year. So, we are seeing again, positive momentum across all the chain and when I look at it year-over-year from that standpoint, Peter, we remain very encouraged.
Peter Keith: Okay. That's great. And then just a clarification question for Kirk, I was intrigued with some of the numbers you cited regarding the 2013 in terms of ‘14 stores. You said that 2013 class was up 23% and I wasn’t quite sure if that was sequentially or year-on-year?
Kirk Geadelmann: Hey. Good morning, Peter. This is Kirk. Yeah, that’s a sequential improvement. And we are seeing -- we saw some good sequential strength between Q4 and Q3. And then on into if you combine December and January results, even stronger sequential improvement during that time period versus Q3.
Peter Keith: Okay. And I guess, directionally, are the stores that were opened in late 2013, there's a big slug of them that are now hitting the comp base, are those -- sounds like they are running goods on a sequential basis. Are they running up year-on-year at this point?
Kirk Geadelmann: They are. We talked a little bit on the Q3 call that the 2013 stores in the first half of the year were certainly a little stronger than the 2013 stores that we opened in the latter half of the year. But the stores as a group are now -- they are higher than the historical norm of doing a 20% comp in the second year. And so we are happy with that. Now, we have to call out, but of course they're starting from a lower sales base because they underperformed, particularly the ones that we opened in the latter half of 2013. But nonetheless, we are seeing good improvement there.
Peter Keith: Okay. That’s great. So, lastly for me then I’m encouraged with the slowdown in the store openings and I like the fact that you are going to see more existing markets. I guess just to think about some store overlap. Do you guys notice any cannibalization as you are opening up the sector third store market?
Chris Homeister: Peter, this is Chris. We really don't. Even our most densified markets of D.C., Baltimore, as well as Chicago. In Chicago, we still only have 10 stores in that market. We've opened up two stores in that market over the last year, as you know in Downtown, Chicago and the Lincoln Park neighborhood, as well as the far West suburbs out in Geneva and both those stores continued to perform excellent across the board. We don't see cannibalization really anywhere in the chain across what I would say in any material way. I would look at that. We still have opportunities in both those markets that I just mentioned, as well as many other existing markets as well.
Peter Keith: Okay. Thanks for all the helpful feedback. And good luck this coming year.
Chris Homeister: Thanks, Peter.
Kirk Geadelmann: Thanks, Peter.
Operator: Our next question comes from the line of Daniel Moore with CJS Securities. Your line is now open. Please proceed with your question.
Daniel Moore: Thank you. Good morning.
Chris Homeister: Good morning, Dan.
Daniel Moore: Give us again just a little bit more color on the progress you’ve made in identifying and promoting the -- I think on the last call, you said roughly 18 new store managers. You provided some detail in your prepared remarks. But how many of those have been identified and how long should we think about that, that process in general?
Chris Homeister: Hi, Dan. This is Chris. The process will continue on that we’re looking at it as one of the key standard operating procedures that we have in the company around talent identification, training, and then ultimately transitioning into stores. Six of the 18 that I spoke about have moved into store manager positions across the chain. I would expect many of those others will go into it as well. We didn’t specifically call out 18 because the number has grown significantly, as we continue to train up and coming existing managers. And then also augment that with new hires replacing through the system as well. So this is I talked about in the past pertaining to at 90-10 ratio. I think that’s still a very good approximate age of looking at internal promotion and continue to grow their curve. From that standpoint, I think augmenting it with people that we’re finding in the market, that live in the market, that love that area of the country that where they are from, have great retail experience mainly at necessarily the talent industry, but somewhere that will deliver a superlative customer experience, that’s the biggest thing for us given the fact that we are very high touch model. And so it continues to go well. We are pleased with the results of both identification process, the process that we are putting them through what we call Tile Shop University and that evolves both online as well as in-person direct feedback and leadership from the managers and then also market manager position if having that senior store leader guide them and help them as they go into the store has been a huge help as well.
Daniel Moore: And shifting gears a bit with a few more months under your belt, as you’re confident today as you were perhaps three or fourth months ago that the challenges with you’ve had from a comp perspective or kind of strictly managerial versus competitive, or any other external factors other than just the macro environment?
Chris Homeister: Yeah, I would say the biggest one is around macro. I think that is something that we are obviously very contentious here at Tile Shop and looking at things that are obviously impacting other retailers across the board. We feel that what we are doing from a internal process standpoint and looking at training and development as key components of delivering our value proposition and having that senior -- excuse me that seasoned store manager in place for a sustained period of time, especially as we focused more and more on the Pro business and accelerating that growth at some of our newer stores. We do feel that that what we are doing is working and we also feel that from our standpoint that the results are really beginning to manifest themselves into the numbers as well.
Daniel Moore: And lastly and I will jump back in queue. As we look beyond '15, obviously you mentioned you would look to reaccelerate new store openings. Has the philosophy changed at all in terms of balancing growth with allowing margins and profitability to increase at a faster rate as you sort of look back over the experience of the last year or two?
Chris Homeister: Well, certainly, we want to be looked upon by our investors that we deliver superlative returns on EBITDA percentage and EBITDA dollars. We certainly want to have a strong growth from a comp stores and looking at that as a key component. So I think the days of a 30% increase in store openings that we did in '13 are behind us. I mean, certainly when you look at that type of store growth in a very concentrated period of time, it’s difficult for any company and I think we saw some of the residual facts of that as well. But I think our store growth is manageable. I think we are excited about what we are billing and having a strong pipeline of talent go into the stores to lead them and build those relationships that are so important for our business within the community that they serve and competing against that factor -- that’s your point on competition Dan -- competing with the local stores that have been in the market 20, 30, 40, 50 years as well as regional competitors announced the cost competitors having that familiar face and that person that knows that tile industry, has lived it, has known it, is very important for our success. As organization, I think we are very excited about what we are doing on that front.
Daniel Moore: Thanks for the color.
Chris Homeister: Thank you, Dan.
Operator: Your next question comes from the line of Peter Benedict with Robert W. Baird. Your line is now open. Please proceed with your question.
Justin Kleber: Hey, guys. This is actually Justin Kleber on for Pete. Thanks for taking the questions. I wanted to focus on the comments on the increase in marketing funds allocated to Pro. You guys mentioned the dollar increase in total marketing spend has not changed that meaningfully. So I am curious where these funds are being reallocated from and have you contemplated any impact to the DIY customer to the R&D reducing ad spend to this group?
Kirk Geadelmann: Good morning, Justin. This is Kirk. Traditionally the company has spent less than 3% of sales on advertising and we don’t see that changing anytime soon. We talked about a little bit of an increase in Q1 with some advertising tests. But largely the advertising spend that we are doing both for the Pro customer as well as the consumer traditional DIY, it really goes hand-in-hand and it fits together pretty neatly. There is opportunities to heavily focus or more heavily focus on the Pro is really just a shift in dollars, but it really doesn’t change the base spend that we rely upon for both customers.
Justin Kleber: Okay. And then, Kirk, can you mind us what percentage of sales are with that Pro customer today and I guess where does that mix fit, maybe the highest penetrated locations?
Kirk Geadelmann: Sure. Yeah, traditionally, it’s a little hard to get absolute data, but it’s roughly a third of our total revenue as the Pro customer. So we think there is a significant opportunity for growth there. Some of our more mature locations that have had years of time to develop that relationship with tile contractors, designers, and small home builders, it’s posted 50% in some of those stores.
Justin Kleber: Okay. Good. And then last question, I think on third quarter call you spoke comps in your more mature markets being up about 4% across your four largest regions. Just curious in terms of -- can you speak to the regional differences in comps in the fourth quarter. Did you still see that same dispersion between some of your more mature larger regions as opposed to the overall chain?
Kirk Geadelmann: We did. Our four largest most mature markets in total were up year-over-year in the fourth quarter.
Justin Kleber: All right. Thanks, guys. Best of luck.
Kirk Geadelmann: All right. Thank you.
Operator: Our next question comes from the line of Joe Feldman with Telsey Advisory Group. Your line is now open. Please proceed with your question.
Joe Feldman: Hi. Thanks. Good morning, guys. Wanted to ask about expense leverage for 2015 to get to the EPS that you’re talking about? Is that mostly coming from just lower pre-opening because of the lower store count or are there other expense control is being put in place that are helping to drive that?
Kirk Geadelmann: Good morning, Joe. This is Kirk. As we talked about, we’re anticipating being able to drive about 100 to 200 basis points of improvement in EBITDA margin. And really what that is, it’s growing revenue in both the newer stores and hopefully the mature stores as well and getting leverage. We don't anticipate any significant cost reductions. Although, there are opportunities across our business, some of the examples are, inventory control, operating supplies and other things that don't directly impact the customers. So we’ll be focused on cost discipline, but the leverage that we’re getting -- we are anticipating next year is really more about getting sales leverage and driving revenue productivity.
Joe Feldman: Okay. Got you. So its not because you're going to open eight to 10 stores versus I think we were ones thinking around ’14 or so, okay. And then I think you mentioned in the prepared commentary that that eight to 10 may not be the new run rate to think of and I guess, just curious as to try to understand that a little better and maybe why not just have 8% to 10% square footage growth as more of a steady state to go forward?
Kirk Geadelmann: Sure. Absolutely. I mean, I think, as Chris mentioned, over the last couple of years, the percentage increase in terms of the base stores that we started each of the years with was pretty significant, in fact 30% at two years ago and little over 20% this last year. So, on a percentage basis, I don’t think it will ever be greater than that. But 8% to 10% this year, I think, we feel like that gives us a little room to breathe that at last some of the initiatives that we talked about come to fruition. We can make sure that we’re on the right track. And then as we head into 2016 and beyond, while we won't certainly, likely ever open 30% of our store base again going forward, we could potentially go little higher than 8% to 10% that we’re planning in the next 12 months.
Joe Feldman: Got you. And then the one last question I had was, you mentioned also maybe down the road finding ways to shrink the size of the box a little bit, if I heard it correctly? And I was wondering if you could talk about that a little more like have you started to test that are all and what are you envisioning like is it 5,000 square foot, lesser 10,000, what is the thinking behind that? Thanks.
Chris Homeister: Hi, Joe. It’s Chris. There is a multitude of different things that we’re looking out from a store square footage standpoint right now. So I believe in the release our average square footage of the store is 22,200 right now. And we're looking at the average from our standpoint going forward, certainly, below 20. I think that's one of the things that we want to indicate very directly that that will continue to go down. The stores that we’re opening in this year, the one that we’ve identified with our real estate portfolio and team is are all below 20 and the ones that were open from this point going forward for this year. I think there's an opportunity. Certainly, we have had success in operating smaller footprint stores across the country and operating stores as small as 11,000 square feet and 13,000 as well. So I think there's a good sweet start for us. As we go into ’15 and beyond, I’ll continue to bring the average down from a square footage standpoint and all the benefits that come from that as well from last lease payment, utilities and other landlord as that issue as well.
Joe Feldman: Got it. Thanks for that explanation and good luck for next quarter, guys. Thank you.
Chris Homeister: Thank so much.
Kirk Geadelmann: Thank you.
Operator: And our next question comes from the line of Dillard Watt with Stifel. Your line is now open. Please proceed with your question.
Dillard Watt: Thank you. Good morning. I wondered if you could comment on any trends year-to-date, I guess, in January and February on what comp sales are looking like? Is that maybe trending above low single digits now and some conservatives for the rest of the year or what are you seeing so far?
Kirk Geadelmann: Good morning. This is Kirk. I don’t want to get into specific metrics, but we are seeing strengthening our business and increase in traffic as Chris talked about in his opening remarks. And right now, we are cautiously optimistic that hopefully, that trend will continue. So at this point and that’s probably I’ll say but of course, we’ll give an update in a couple of months on our Q1 call.
Dillard Watt: Okay. Thanks. And any comment on the free cash flow expectation for 2015?
Kirk Geadelmann: Sure. Yeah. I think we are obviously with opening fewer stores than we have in the last couple of years. We have an opportunity to generate some pretty, pretty strong free cash flow next year and that’s our goal.
Dillard Watt: Any number maybe?
Kirk Geadelmann: I think that looking at $20 million to $30 million range is doable.
Dillard Watt: Great. Thank you so much. Good luck.
Kirk Geadelmann: All right. Thanks.
Operator: We have a question from the line of Seth Sigman with Credit Suisse. Your line is now open. Please proceed with your question.
Seth Sigman: Okay. Great. Thanks. Good morning, guys. How are you?
Chris Homeister: Good morning, Seth.
Seth Sigman: Wanted to follow-up on the traffic improving and that’s obviously encouraging. What are you seeing from a conversion perspective? So, are you seeing any sequential improvement in that, customer coming in and you’ve clearly made some operating improvements within the store change in some of the programs, what’s the trend with conversion line?
Chris Homeister: Hi, Seth. This is Chris. We are seeing conversions remaining steady at prior periods and certainly within our expectations from that standpoint. I would say -- one of the things I would say is on the web, I would view our conversion as increasing as we feel that we’ve optimized our ability to drive traffic to our site, for people that are in the market, so the qualified leads coming into the market come through our site of both looking at -- going to the nearest Tile Shop. But that may not be feasible or they want to have a different purchasing experience, purchasing online. We have seen conversion in that channel increased throughout the latter part of ‘14 and certainly going into ’15.
Seth Sigman: Okay. Okay. Thanks. And then just in general, the focus on the PRO, can you talk about some of the margin implications associated with doing a better job of serving the PRO and how that’s embedded in the margin outlook that you guys provided?
Kirk Geadelmann: Sure. This is Kirk. We feel like our range that we provided for next year of 69% to 70% fully contemplates any significant mix into the PRO business and we are certainly hoping that happens. But we are not -- again, I think we are pretty comfortable with that range, even with adding a fairly significant amount of PRO customers to our business next year.
Seth Sigman: Okay. And one last one. I know there was a lot about real state on the call, but just in general, Kirk, I know you’ve had your hands a lot more in the real estate than maybe in the past. What is the change in the approach, whether its store locations? I mean, clearly you talked about size of the stores as well. But what else are you learning about, what else -- how else are you thinking about real estate going forward?
Kirk Geadelmann: Sure. I'll make a comment and then, I’ll see if Chris wants to add anything. But I've seen now roughly about a third of our stores and including many of the newer stores that we talked about on the Q3 call. And I think the things that we’ve talked about in terms of the opportunity to develop talent and strengthen the bench and train people to serve customer in all of our various locations across the country is certainly in my view the biggest opportunity we have. The opportunity to grow the pro-customer is certainly a very significant opportunity as well and then focusing on market effectiveness to drive awareness, particularly in new markets where we open store is another big opportunity for us. There is always opportunities to improve process, and I think we’ve recognize there is a number of opportunities to have a little bit more process discipline and the new store opening and approval process is certainly one that’s always -- you always look at as a retailer. But I think in my view as I tow around and see some of these locations, I think we’ve had a pretty sound process overall. Having said that, we certainly are looking for various ways where we can make it even better. Maybe if Chris has adding to add, I think he chime in.
Chris Homeister: This is Chris. I think Kirk said it well. I think looking at real estate or real estate portfolio certainly I was looking to improve upon it. I think maybe just change from maybe the past is what we talked about this year and we talked about the 19 stores that we opened this year and the one relocation. I’ll say the one relocation that we did has been an absolute home run for us. And I think that is a little bit of change for the company, looking at -- looking at with a very surgical approach and little core approach about what are the things that we want to do, how do we keep that customer base if you were to relocate that stores, how far they had to go, looking at a traffic patterns. And I think there is an example of some of the things we‘re looking at for real estate standpoint of being more surgical in the approach and understanding the analytics behind our decisions. And I think again relocation that we did in this year, I think showcases to everyone at the company that we can improve upon locations where lease ending, where this is an opportunity to exit and improve where our customers really, really shopping at and take advantage of traffic that we also generate all by ourselves take advantage of shopping districts that still are not a grade A rent or never going to been in grade A rent locations to take advantage of traffic flows that we’ll service well and having convenience from that standpoint.
Kirk Geadelmann: I think the other thing I’d add is it’s important to note that some of our newer store openings in Q4 had performed pretty well out of the gate. And there -- couples of those are smaller formats, they also had the benefit of some of the learnings that we had in late summer and we talked about in the Q3 call where we opened the stores with a little bit heavier focus on the pro-customer training and identification of the store manager and their staff. So we’re -- again we’re cautiously optimistic about those results as well.
Seth Sigman: Okay. Thanks guy. Nice to see the progress and good luck in the year ahead.
Chris Homeister: All right. Thank you.
Operator: Thank you, Mr. Seth. There are no further questions in the queue. I would like to turn the call over to Adam Hauser for any closing remarks.
Adam Hauser: Thank you for joining us on the call today. We hope everyone has a great day.